Operator: Good morning and welcome to OFS Capital Fourth Quarter and Year-End 2014 Earnings Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Steve Altebrando, Vice President of Investor Relations. Please go ahead.
Steve Altebrando: Thank you. Good morning, everyone and thank you for joining us. With me today is Bilal Rashid, our Chairman and Chief Executive Officer; and Jeff Cerny, our Chief Financial Officer and Treasurer. Please note that we issued a press release this morning announcing our fourth quarter and full-year results. This press releases was subsequently filed on Form 8-K with the SEC. Both documents can be obtained under the Investor Relations section of our website at ofscapital.com and we plan on filing our 10-K this afternoon. Before we begin please note that the statements made on this call and webcast may constitute forward-looking statements within the meaning of the Securities Act of 1933 as amended. Such statements reflect various assumptions by OFS Capital concerning anticipated results and are not guarantees of future performance, and are subject to known and unknown uncertainties and other factors that could cause actual results to differ materially from such statements. The uncertainties and other factors are in some ways beyond management's control including the risk factors described from time-to-time in our filings with the SEC. Although we believe these assumptions are reasonable, any of those assumptions could prove to be inaccurate and as a result the forward-looking statements based on those assumptions also could be incorrect. You should not place undue reliance on those forward-looking statements. OFS Capital undertakes no duty to update any forward-looking statements made herein. All forward-looking statements speak only as of the date of this call, a replay of this call will be available until March 16, 2015 beginning approximately two hours after we conclude this morning. Alternatively the webcast will be available for the next 30 days. To access either replay please visit our website at ofscapital.com. With that, I will turn the call over to our Chairman and Chief Executive Officer, Bilal Rashid.
Bilal Rashid: Thank you, Steve. Good morning and welcome. As you probably saw, we issued a press release earlier this morning detailing our performance in the fourth quarter and for the year ended 2014. The year-over-year performance of OFS Capital was strong in terms of origination, revenue and earnings growth. We are continuing to put the pieces in place for sustained growth into 2015 and beyond. Our focus remains the same to increase earnings for our shareholders by originating quality loans. We continue to build and improve our origination platform to support that effort. On today's call, I will provide some color on the drivers of our fourth quarter and full year performance and describe our growth plans for the future. As we communicated in previous calls we have been highly focused on increasing originations in our SBIC. The focus of our originations has been the lower middle market. This is where we see significant opportunity for investing in high-yielding assets while maintaining our underwriting standards. We believe that the lower middle market provides us better pricing, lower leverage, and stronger covenants that will generate attractive risk adjusted returns. We believe that OFS Capital's credit-intensive culture, its thorough due diligence process and its expertise in structuring transactions enable us to navigate this market segment and drive attractive returns. Our plan going forward is to continue to originate attractively priced loans in the lower middle market with a particular focus on non-sponsored transactions. For the fourth quarter, our originations in the SBIC totaled $72.6 million and for the full year of 2014 originations totaled $163.8 million both of which significantly exceeded our previously announced targets. The significant increase in originations over the course of 2014 was a result of the increased recognition of the OFS Capital brand, our ability to provide flexible capital to lower middle market companies, and a more efficient sourcing process. Our sourcing capabilities demonstrate the strength of our platform and the investment team, many of whom have spent their careers focused on the lower middle markets and have built extensive relationships. We continue to receive positive feedback from market participants and this has led to repeat business. We will continue to be responsive to the needs of our borrowers and win business based on our creative capital solutions and hard work. The increase in originations in the SBIC fund has been the primary driver of growth in the average yield of the portfolio and the net investment income of the Company. The average yield increased by a 103 basis points in 2014 and by 47 basis points in the fourth quarter. The net investment income for the fourth quarter was $2.7 million, which equated to $0.28 per share. The adjusted net investment income for the fourth quarter, a non-GAAP measure was $3.1 million or $0.33 per share. This adjustment was driven by a non-cash charge related to our voluntary reduction of the senior loan credit facility as we continue to reduce the size of that tool. The net investment income for the year on a per share basis increased to $0.95 per share from $0.59 per share in 2013. In addition, we feel good about the credit quality of our portfolio, as we have achieved an increased yield on the portfolio while maintaining our underwriting standards. At the end of the year, we had just one loan on non-accrual representing less than 1% of the fair value of our total assets and virtually no exposure to the oil and gas sector. 77% of the fair value of our portfolio was senior secured and 73% was floating rate. As we look into 2015, the pipeline continues to be strong. As always, quarterly originations will fluctuate given individual deal dynamics and our clients needs. Due to our strong originations in the fourth quarter, we expect the first quarter to be lower than our original expectations. However, we still expect to have strong originations for the year. Our primary focus remains the same, to grow our earnings while being a conservative steward of our shareholders capital. As a 30% owner of the Company, the external manager is incentivized to do so. We believe that we have a winning combination of attractively priced assets matched with attractive long-term financing through our SBIC. In 2015, we will continue to originate loans that meet our underwriting criteria while replacing the lower yielding loans in the senior loan fund. We have significant resources to support our origination growth. Number one, we have $44 million of capital available within our existing SBIC, which includes cash and undrawn debentures. Number two, we have $50 million of equity invested in the senior loan fund that can be redeployed for high-yielding investments. Number three, we have applied for a second SBIC license, which if approved by the SBA would give us up to an additional $75 million of borrowing capacity. Lastly, we have the ability to raise capital in the bank loan or public bond market. As you know, we filed our shelf registration that went effective last quarter. Rest assured, we will only raise additional capital if it is accretive to our shareholders. As a 30% owner of the Company, the external manager’s interests are aligned with those of our shareholders. To summarize, I am encouraged by OFS Capital results in the Fourth Quarter and for the entire year of 2014 and particularly the progress we have made in our origination activities, but I am even more excited about the opportunities ahead. At this point, I’ll turn the call over to our Chief Financial Officer, Jeff Cerny who will provide more details on the financials and then upon the completion of Jeff's comments I will follow-up with some concluding remarks and then we will open up the line for questions.
Jeffrey A. Cerny: Thanks, Bilal. Turning to our fourth quarter results, our investment portfolio totaled $312.2 million on a fair value basis as of December 31, equating to 99.6% of cost. The investment portfolio was comprised of 62 companies, 36 in the senior loan fund and 26 in the SBIC fund. As a percentage of fair value at quarter-end, our investments were comprised of approximately 77% in senior secured loans, 17% in subordinated debt and 6% in equity. At December 31, the 62 companies in our portfolio were diversified across 19 industries. Our largest portfolio company accounted for 4.7% of the aggregate fair value of our portfolio. Additionally, our five largest investments accounted for approximately 22% of the portfolio's total fair value. Our average investment in each portfolio company was approximately $5 million at fair value or 1.6% of the portfolio’s total fair value. The weighted average yield to fair value on our debt investments was approximately 9.56% versus 9.09% as of September 30. This 47 basis point pickup in weighted average yield to fair value quarter-over-quarter reflects the continued ramp-up in our SBIC fund. On a fair value basis at December 31, the debt investments in the SBIC fund now represent approximately 60% of the debt portfolio versus 47% last quarter. The weighted average yield to fair value was 6.6% and debt investments in our senior loan fund and 11.6% on debt investments in our SBIC fund. As Bilal mentioned our intention is to continue to redeploy equity capital from our senior loan fund into higher-yielding assets. Our one non-accrual investment which I will discuss momentarily was omitted from the weighted average yield to fair value calculation. At the end of the fourth quarter, floating rate loans comprised 73% of our loan portfolio this is down from 82% last quarter, largely driven by the growth in our SBIC portfolio. Certain unit tranche and subordinated debt investments which are more common in the SBIC fund tend to be structured with fixed rates. All of our floating rate loans contain LIBOR floors. As I noted earlier we had one non-accrual loan at December 31st, our debt investment in Strata Pathology Services. It had a fair value of $801,000 at year end and has been on non-accrual since the first quarter of 2013. Moving on to deal activity, during the fourth quarter, we closed transactions with 10 portfolio companies with an aggregate principal amount of $72.6 million. This included $70.7 million of investments in nine new portfolio companies and $1.9 million of follow-on investments. These investments included senior secured loans, subordinated loans, preferred stock, common ownership interest and warrants with approximately 94% constituting loan investments. We also sold one $7 million loan from our SBIC fund at 102% of par, versus its 98.3% fair value at September 30. This was a LIBOR plus 750 assets and was one of the lower yielding loans in the SBIC fund. We believe the 102% sales price we negotiated was a very good outcome for this loan. We derived approximately $6.9 million in total investment income in the fourth quarter compared with $6.2 million in the third quarter. The improvement was largely due to a strong quarter of new investments in the SBIC fund, which was partially offset by prepayments and amortization in the senior loan fund and a 47 basis point increase in the weighted average yield to fair value quarter-over-quarter. Approximately $2.3 million of the fourth quarter’s total investment income was derived from our senior loan fund, and $4.6 million came from our SBIC fund. The percentage of total investment income derived from our SBIC fund made up 67% versus 56% in the prior quarter. Again, this highlights our efforts to optimize our portfolio into higher yielding investments. Expenses totaled $4.2 million for the fourth quarter compared with $3.3 million for the prior quarter. It is important to note that this $900,000 increase in expenses was largely driven by a $665,000 non-cash write-off of deferred financing closing costs related to our voluntary commitment reduction of our senior loan fund debt facility. Such reduction was initiated to reduce unused line fees as we shrink the senior loan fund portfolio. The remaining increase in expense was mostly attributable to an increase in interest expense as we finance our asset growth. In the aggregate, the total amount of our administrative fee, professional fees, and general and administrative expenses was largely unchanged in the fourth quarter compared with the prior quarter. Net investment income for the fourth quarter was approximately $2.7 million or $0.28 per share, compared with $2.9 million or $0.30 per share in the prior quarter. Again, it is important to note that net investment income was reduced by a non-cash write-off of $665,000 related to our voluntary debt facility commitment reduction. Our adjusted net investment income was $3.1 million or $0.33 per share excluding that non-cash write-off, but adding back $265,000 in additional incentive fees, we would have paid in the absence of such write-off. We believe this adjusted net investment income of $0.33 per share which is a non-GAAP measure provides greater transparency into our ongoing operations. We expect to continue presenting this non-GAAP adjusted net investment income amount in the future as we are likely to incur additional non-cash charges related to reductions in our senior loan fund debt facility. The facility reductions will be determined as we continue our efforts to shift our equity capital towards supporting higher yielding assets. For the fourth quarter, we had a net increase in net assets resulting from operations of $3.5 million or $0.36 per share compared with $3.8 million or $0.40 per share for the third quarter. Again, I would like to highlight that this quarters net increase and net assets resulting from operations was reduced by the non-cash write-off I previously discussed. As noted on our last earnings call, we received SBA approval for the remaining leverage in our existing SBIC fund. As of today, we have capacity to make additional investments in our existing SBIC fund of approximately $43.6 million, which includes $22.6 million in incremental SBA debenture borrowing capacity. Also, as Bilal mentioned we did file with the SBA to obtain a second SBIC license. With that, I'll turn the call back over to Bilal.
Bilal Rashid: Thank you, Jeff. This has been a transformative year for OFS capital. At this important juncture, I would like to reiterate that our core values remain the same which are to put the interest of our shareholders first. As the largest shareholder of the Company, the external manager's interests are well aligned with those of our shareholders. To summarize, we continue to focus on growing the earnings the Company. We will do so by further increasing our origination activities while funding those activities in a manner that is accretive to our shareholders. Overall I am encouraged OFS Capital’s results in 2014. The Company has been working smarter and getting more efficient insourcing, evaluating and closing transactions. However, there is a lot more run rate to grow our earnings. I believe as we can accomplish that, if we remain laser focused on responding to the needs of our borrowers while adhering to our time tested underwriting criteria. We have a strong balance sheet and sufficient capital to deliver on our business plan. With that, operator, please open up the call for questions.
Operator: Thank you. [Operator Instructions] And our first question will come from Terry Ma of Barclays.
Terry Ma: Hey, guys. So, on past calls, you guys have indicated about $30 million a quarter is what you're targeting for originations, and you guys - it looks like you have been running above that the last couple quarters. Can you maybe just give us a little color on how you're thinking about that? Whether or not that's still a reasonable run rate? And also what's been driving the increase the past couple quarters?
Jeffrey A. Cerny: Yes, Terry, this is Jeff. How are you?
Terry Ma: Good.
Jeffrey A. Cerny: Yes, I think that we had previously talked about targets in the $30 million range. This is not a quarterly business. This is - we look at individual deal dynamics, the needs of our borrowers as we source deals. And so you are going to see some fluctuations quarter-to-quarter naturally, but we continue to stand by a target of $120 million a year and feel pretty good about that.
Terry Ma: Got it. And if I just look at your SBIC assets as a percentage of debt investments - about 60% - what's the - I guess your long term target for that? Are you just going to wind down the senior loan fund?
Bilal Rashid: Yes, I think we will continue to deemphasize the senior loan fund and continue to increase the SBIC related originations, so I think that is correct. We are looking to deemphasize the senior loan fund, given the yield on the assets are relatively lower, and we're able to originate loans in the lower middle market at much higher yields so if you look at the yield in the SBIC portfolio that's about 11.6% compared to the senior loan fund which is about 6.5%. So overall I think you're right. The plan is to continue to deemphasize that, the senior loan activity.
Terry Ma: Okay, because I think at the time of the IPO, you guys were talking about a barbell strategy, about 50/50. So what's driving this shift in strategy? Is it just clearly on yield? And can you maybe just characterize how competitive the environment is in the lower middle market right now?
Bilal Rashid: Yes, I mean I think that there's no shift in the strategy. I think that we are finding very attractive opportunities in the lower middle market, and focusing on the types of transactions that we have been doing and the SBIC, which are more focused on the non-sponsored part of the market and so I think we want to take advantage of the competitive advantage that we have in originating those types of transactions as opposed to the types of transactions that are in the senior loan fund, which are more sponsor-focused and more traditional part of the lower middle market. So as I mentioned earlier in my comments, we have a lot of expertise and experience here evaluating those lower middle market types of transactions because of our relationships and contacts within that part of the market and our credit intensive culture here to evaluate those types of transactions. So we want to take advantage of that competitive advantage that we have.
Terry Ma: Okay, got it. And my last question just a bit of a housekeeping question. I apologize if I missed this earlier, but you guys had amortization and deferred financing costs about $200,000 a quarter. Did you just pull that forward with this write-off - with this $600,000 write-off?
Jeffrey A. Cerny: Yes, so we actually reduced the financing facility. This was - we 8-K'd this from our $125 million. This is the senior loan fund facility to $100 million, so when we voluntarily reduced that, we had to take that charge. Accelerate that charge.
Terry Ma: Okay, got it. And how should we think about dividend income going forward? Didn't you guys have $700, 000 and $600,000 in the last two quarters. How should we think about that going forward?
Jeffrey A. Cerny: Sorry, I missed the question.
Bilal Rashid: Dividend income on the equities. Interest income versus dividend income, is that the question?
Terry Ma: Yes, correct.
Jeffrey A. Cerny: Yes, I think it should be relatively stable. I mean we kind of 6% of our investments are an equity type instruments and I wouldn't expect that to change meaningfully, so I think you can probably look at a fairly consistent run rate on that.
Terry Ma: Okay, great. Thank you.
Jeffrey A. Cerny : Thanks, Terry. End of Q&A
Operator: [Operator Instructions] And showing no additional questions I'd like to turn the conference back over to Bilal Rashid for any closing remarks.
Bilal Rashid: Thank you all for joining our call today and for your questions. We look forward to speaking with everyone again on our next call. Operator, you may end the call now.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.